Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Alibaba Group's June Quarter 2016 Results Conference Call. At this time, all participants are on listen-only mode. After management's prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to Jane Penner, Head of Investor Relations of Alibaba Group. Please go ahead.
Jane C. Penner - Vice President, Head-Investor Relations: Hello, everyone, and welcome to Alibaba Group's June Quarter 2016 Earnings Conference Call. With us are Joe Tsai, Executive Vice Chairman; Daniel Zhang, Chief Executive Officer; and Maggie Wu, Chief Financial Officer. Also, as you know, we distribute our earnings release through Alibaba Group's Investor Relations website located at www.alibabagroup.com. So please refer to our IR website for our earnings releases as well as the supplementary slides that accompany the call. You can also visit our corporate website for the latest company news and updates. Please check it out. This call is also being webcast from the IR section of our corporate website. A replay of the call will be available on our website later today. Now, let me quickly cover the Safe Harbor. Today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements involve inherent risks and uncertainties that may cause actual results to differ materially from our current expectations. Factors that could cause actual results to differ materially are set forth in today's press release. To also understand these risks and uncertainties, please refer to our latest annual report on Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. Any forward-looking statements that we make on this call are based on assumptions as of today, and we do not undertake any obligation to update these statements except as required under applicable law. Please note that certain financial measures that we use on this call, such as adjusted EBITDA, adjusted EBITA, segmental adjusted EBITA, non-GAAP net income, and free cash flow are expressed on a non-GAAP basis. Our GAAP results and reconciliations of GAAP to non-GAAP measures can be found in our earnings press release. With that, I will now turn the call over to Joe.
Joseph C. Tsai - Executive Vice Chairman: Thank you, Jane. Thank you all for joining us. We're extremely pleased with our results this quarter. This is not only because we delivered 59% unprecedented revenue growth since we became a public company; it is also because when I look at each of our business segments across the board, we have establish strong competitive positions and firm foundations for future growth. On our Investor Day in June, we shared with you plans and insights into our businesses as well as the strong management team that's behind them. Now, I'm happy to report that we are executing well against our plan and that each of our businesses has positive momentum and sustainable traction. Before Daniel discusses our performance, driven by the massive scale and leverage of our ecosystem, I'd like to share a few observations with you. My first observation is about the tremendous value proposition of our e-commerce platform, which is the destination for 434 million highly-engaged active consumers in China. Our China retail revenue growth rate at 49% year-on-year might have surprised many, given economic headwinds and reduced expectations from the industry. However, we never had any doubt that we would be able to deliver increasing monetization of our users. In other words, this is a decoupling of revenue growth from GMV, which is something we started to communicate to you two quarters ago. We gave you the heads up because we had confidence in building a platform with consumer engagement of the highest value in the industry. Features that focus on community, sharing, originality, immediacy and data-driven customization are capturing the imagination of today's generation of young consumers. Just for reference, 75% of users on the Taobao app are below 35 years of age. In turn, our high-value and highly-engaged users attract brands and merchants who increasingly rely on our online marketing solutions to reach and engage with these consumers. Finally, we enable transactions to happen on our platform so the entire e-commerce loop, from the marketing funnel to the final purchase, as well as the related data are captured by Alibaba. In a nutshell, this is the value proposition that enables long-term sustainable revenue growth. My second observation is related to the high-quality presentation of our information through segment reporting. In this quarter, we are breaking out the Core Commerce segment as well as our newer businesses in Cloud Computing, Digital Media and Entertainment and Innovative Initiatives. I have previously referred to these businesses as "core cash flow," or "emerging traction", or "long-term strategic bets". With today's earnings report, we show you the revenue growth trajectory, margin and operating leverage of each business. You will find that our Core Commerce segment generates RMB2.5 billion in quarterly operating profits before non-cash items. This business is running at a healthy 61% operating margin. This alone could explain our current valuation. The strong cash flow generated from Core Commerce enables us to continue to build a moat around our Core business, as well as aggressively invest in new businesses and innovation. Some of these new businesses are already building strong traction. We're excited by the prospects of our Cloud Computing business, which is the number one cloud player in China, growing revenues at 156% year-on-year and moving towards breakeven. And we're making good progress in integrating the synergistic components of our Digital Media and Entertainment unit, combining UCWeb's large monthly active user base of 420 million, with a highly engaging video platform of Youku Tudou, as well as our OTT TV business. My last observation is about transparency. We have to work hard to make it easy to understand Alibaba. We provided you with more detailed information about our company so that you can better analyze our business. With respect to our equity investees, we are providing extra data points. For example, in our annual report and on our Investor Day, we provided information on how our logistics affiliate, Cainiao Network, can leverage data technology to enable its logistics partners to deliver 42 million packages per day on average. We also continued to provide key financial information about Cainiao and Koubei, among other investees so that you can assess the impact to Alibaba's financials. We're pleased with the performance of our business and its long-term growth trajectory. I believe you will appreciate that our increased disclosures and segment reporting will bring important insights into the strength of our business. Now, I would like to turn the mic over to Daniel. Thank you.
Daniel Yong Zhang - Chief Executive Officer & Director: Thank you, Joe. Hello, everyone, and thank you for joining our earnings call today. As Joe mentioned, we deliver an outstanding quarter. Even as we are producing strong financial results, we remain more focused than ever on our mission to make it easy to do business anywhere. We started our first business, Alibaba.com, 17 years ago to leverage the power of internet to help businesses make connections. Then we successfully captured the opportunity to help make transactions through our retail platforms Taobao and Tmall. We invested in the development of our marketing services and a Cloud Computing business, together with payment and the logistics from our affiliate companies. We believe these form the fundamental infrastructure necessary for success in digital transformation. In recent years, we have invested in digital entertainment and the local services that will lead transformation in consumer lifestyles. Data is the core asset of Alibaba; our core business is the source of generation of precious real user data, which is then translated for further application and the refueling the entire ecosystem. Taobao has fully evolved from a transactional platform into a social commerce platform driven by China millennials. Mobile Taobao enjoyed a DAU versus MAU ratio of 40% in June, which points to a high degree of stiffness on the mobile user base. On average, users launch the app seven times a day. Users keep coming back to strolling through visual product discovery features created by data-driven algorithms, to contribute answers to questions from fellow users, to share and browse product recommendations in communities. And to watch one of the over 1,000 sections of live streaming that take place daily on mobile Taobao. We see users responding very well to a highly personalized experience on mobile Taobao. Product recommendations and the banner displays are automatically customized in accordance with individual user profiles. Merchants have also been empowered with a capability to customize the in-store displays by individual user profiles. The useful energy and the vibrant social dynamic of this digital world, was brought to life at the first Taobao Maker Festival. The festival showcased the technological innovation, artistic creativity and originality that's flourished on Taobao. More than 10 million users watched the live streaming of this event and users expressed their enthusiasm through more than 200 million likes on mobile Taobao. Tmall is enabling merchants to do much more than just sitting. As a result, we continue to have more and more brands committed to Tmall as a strategic partner of choice on brand building, customer relationship management, channel management and product innovation. More than 8,700 new brands opened new stores on Tmall during the quarter. Our Super Fan Festival in June yield solid GMV growth. Our partnership with Suning contributed to an exceptionally robust performance in the smartphone category, which saw 70% year-over-year gains, while FMCG category was up 67% year-over-year, but we were mostly pleasantly surprised by Tmall Supermarket, which grew 202% year-over-year in GMV. More than 270 brands used the opportunities to drive development of their own customer base through the digital fan club function for ongoing customer engagements. Our two wings of globalization and rural development continued to help lift our Core Commerce business higher. Tmall Global GMV grew by 130% year-over-year. We hosted merchants' events in Australia, New Zealand and South Korea and celebrated launch of our Japan Merchandising Center to support Japanese business in cross-border sales. We continue to make progress in our coverage across rural China. Village service stations have increased to over 17,700 locations. Cloud Computing continues to climb at a healthy pace. Paying customer rose to 577,000 and revenue increased 156% year-over-year. It is expanding overseas service coverage through collaboration with local partners, including a joint venture formed with SoftBank. We consolidate management of Digital Media and Entertainment assets, including Youku Tudou, UCWeb, Alibaba Pictures, AliSports, Alibaba Music, and our OTT TV set-top box business, are now under the leadership of the newly formed Digital Media and Entertainment serving committee. We believe this streamlined management structure will accelerate development of our digital media strategy and capitalize further growth. In fact, we are already realizing benefits from synergies between our digital media metrics and the retail platforms. Through user recognition by a single unified ID across our retail marketplaces and the digital media metrics, we offer brands an incredible unique value proposition as the only platform in the world allowing brands to manage their customers' life cycle from awareness to interest to purchase to loyalty by connecting media exposure with retail conversion. Finally, I want to upgrade on one of our innovation initiatives, the mobile operating system, YunOS. We believe Internet-of-things is an important opportunity that will bring about the next wave of disruption. YunOS actively pursuing cross-projects relating to televisions, smartphones, smart appliances, and cars. Together with Shanghai Automobiles, we unveiled the world's first Internet car powered by YunOS early this quarter. Our vision is to elevate the driving experience through seamless integration of Internet, big data and Cloud Computing. Now, I'll turn the call over to Maggie, who will walk you through the details of our financial results.
Maggie Wei Wu - Chief Financial Officer: Thank you, Daniel. Hello, everyone. We had a very strong quarter. Here are some highlights. Number one, revenue growth accelerated from last quarter, growing at 59% year-on-year to RMB32.2 billion, with China retail marketplace revenue growing 49% year-on-year; number two, about mobile monetization, I still remember that during IPO Roadshow, this was the question that we got, asking in every single investor meeting. You wanted to know whether our mobile take-rate would approach PCs and was it even possible for our mobile take-rate to exceed PCs. What we said at that time was that we were very confident this could happen. So today, I'm very glad to report to you that our mobile take-rate reached 2.8%, surpassing PC's take-rate for the first time. This is a very important milestone. Number three, Cloud Computing revenue grew 156% year-on-year, and the segment adjusted EBITA loss narrowed to US$24 million. Number four, our Core Commerce segment generated adjusted EBITA of US$2.5 billion, an increase of 38% year-over-year, representing 61% margin. Starting from this quarter, we will report to you our segment financials. Here is a summary chart. We now have four reporting segments: Core Commerce, Cloud Computing, Digital Media and Entertainment, and Innovation Initiatives and Others. We present the segmental information to reflect how we manage our business to maximize efficiency in allocating resources. It also provides further transparency to our various businesses that are executing in different phases of growth and operating leverage trajectories. The report is after elimination of the inter-company transactions. Before we move to a detailed segment discussion, I'm going to present to you our consolidated results first. On year-on-year business, the growth rates for both our total revenue and China commerce retail revenue this quarter were the highest among all the reported quarters since our IPO. Total revenue grew 59% year-on-year due to first, accelerated growth of China commerce retail; second, robust growth of cloud computing; third, strong monetization of UCWeb users, and fourth, consolidation of Youku. As discussed in the detail during our recent Investor Day, our China commerce retail platform is characterized by high user engagement through our Taobao mobile app and the social and community products on Taobao Marketplace powered by rich data. Brands and merchants recognized the broad value proposition created by this engagement and are using our platforms for more than just distribution but also for marketing, branding, customer acquisition, engagement and retention et cetera. So we believe this helps drive our monetization levels. We have seen strong year-on-year growth in number of clicks and, to a lesser extent, growth in CPC, reflecting the power of our platform to utilize data to serve highly relevant results. Our ability to monetize the user on platform continues to improve. Revenue per annual active buyer has been increasing for several quarters, reaching RMB202, which is US$30 in the June quarter. On the mobile front, mobile revenue per mobile user has also been increasing for several quarters, reaching RMB140, which is US$21 in the June quarter. We have completed a successful mobile transition. As I said, the mobile monetization rates already surpassed the PCs for the first time. Cost of the revenue, excluding stock-based compensation, was RMB10.9 billion. As a percentage of revenue, it increased year-over-year, primarily due to an increase in cost associated with our newly consolidated businesses such as Youku and Lazada, as well as in our Tmall Supermarket investments. Product development expense, excluding SBC, was RMB2.7 billion, which was, as a percentage of revenue, stable year-over-year. Sales and marketing expense, excluding SBC, was RMB3.2 billion, increasing slightly as a percentage of revenue year-on-year due to consolidation of Youku. G&A, exclude SBC, was RMB1.7 billion, also a slight increase as a percentage of revenue due to consolidation of Youku and Lazada. Non-GAAP net income in the quarter was RMB12.2 billion, an increase of 28% year-on-year. While the non-GAAP diluted EPS was growing at 33% year-on-year. A great example of our commitment to strong capital management. Share of loss of equity investees increased sequentially, primarily because we had a dilution gain from China, raising fund at a higher valuation in last quarter, while for this quarter, there is a loss related to a dilution of our ownership interest in Weibo, as a result of its issuance of SBC to its employees. Okay. Free cash flow: we continue to generate significant free cash flow. Our cash flow allows us strategic and operational flexibility to invest in technology and acquire the resources to accomplish our strategic objectives. In June quarter, we generated RMB12.7 billion, or about US$2 billion free cash flow. The total cash – capital expenditure and intangible spending in the June quarter was RMB3.3 billion. As of June 30, 2016, our cash, cash equivalents and short-term investments were RMB89 billion, a decrease from RMB112 billion at the end of the March quarter due to net cash used for investments, acquisition and share repurchase in the quarter. Okay. Now turning to the segments; for the Core Commerce, revenues from Core Commerce, which is comprised of marketplaces operating in retail and wholesale in China and international, increased to 47% year-on-year. China retail revenue grew 49% year-on-year. International commerce retail revenue increased 123% year-on-year, mainly due to the consolidation of Lazada, starting in mid-April. Excluding revenue from Lazada, the international commerce retail revenue would have been growing at 26%. Adjusted EBITA was 61%, which was US$2.5 billion, representing 33% year-on-year growth. Cloud Computing: Cloud Computing revenue grew 156% year-on-year. The growth was primarily due to an increase in the number of paying customers, which have more than doubled since a year ago quarter to 577,000; and also to an increase in their usage of more complex offerings such as our content delivery network and database services. Adjusted EBITA margin of Cloud Computing segment significantly improved from negative 76% in the year-ago period to negative 13% this quarter due to a robust revenue growth and economies of scale. We're getting closer to the breakeven point for Cloud. Digital Media and Entertainment segment is mainly comprised of operation of our media properties, including UCWeb, Youku, OTT TV service, Alibaba Music, Sports. This revenue used to be accounted as part of our other revenue line in prior quarters. Digital Media and Entertainment segment revenue increased 286% year-on-year, primarily due to the consolidation of Youku and also to an increase in revenue from mobile value-added service provided by UCWeb, such as mobile search, newsfeeds. Adjusted EBITA margin of this segment improved from negative 67% to a negative 32%, primarily due to the improvement in UCWeb's margin. Innovation Initiatives and Others; revenue for Innovation Initiatives and Others segment increased 30% year-over-year, primarily due to an increase in the 2.5% fee from Ant Financial in relation to the SME loan business, and to increase in YunOS revenue. Adjusted EBITA margin of this segment was negative 166%, reflecting our continued investments in AutoNavi, YunOS, new business initiatives such as DingTalk. Valuation of our company; so we have included in the slide a graphical representation of our segments and our strategic investments. I would like to make some observations. We have built an ecosystem of businesses and assets that all work together to bring the best user experience to our customers and the best value to our merchants. No other company in this world has a complete collection of the businesses we have built, working synergistically and generating tremendous data like this. This is where the ultimate value of our company lies. Up until now, we have only provided you with the information as a single entity. Now with segments, we're providing you with the components of our future growth and value creation. So hope this also helps on your understanding and valuation of our businesses. That concludes our prepared remarks. Operator, we're ready to begin the Q&A session. Thank you.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. Your first question comes from the line of Eddie Leung from Merrill Lynch. Please ask your questions.
Eddie Leung - Bank of America Merrill Lynch: Good evening. Thank you for taking my questions. You have mentioned quite a bit the reasons behind the strong growth of your marketing revenues. I'm just curious on your commission revenues. There has been some decent growth as well; it has been tracking faster than your GMV growth. So wondering if you could share some color on the decent commission revenue growth? And then secondly, a little bit about the recently launched advertising regulation. Should we expect any impact on your business, say related to the tax rate or the format of advertisement? Thank you.
Maggie Wei Wu - Chief Financial Officer: Thank you, Eddie. For your two questions, number one, commission revenue growth. The strong growth is coming from mainly two things. First of all is the strong growth of the GMV, especially Tmall GMV. And second thing is the category mix. So we have, those are relatively higher commission level category, growing faster than some of these lower ones, such as top-up fees. Your second question about the SAIC new rules impact, I think when we talk about impact, the impact possibly coming from two things. One is the tax; the other is conversion rates after we put this advertisement local on our website. So for the tax part, if all the P4P revenue are to pay 3% culture tax, we've said this we will have a very minimal impact. We have approximately 1% of tax impact because our revenues are more diversified than the other players. And secondly, talk about the impact on the conversion rates and, therefore, to the revenue. We're currently testing the impact on this conversion CTR, we'll provide more updates. But so far, as what we've seen, we don't see any significant impact coming from that direction. So hope that helps.
Eddie Leung - Bank of America Merrill Lynch: Thank you, Maggie.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Eric Sheridan from UBS. Please ask your question.
Eric J. Sheridan - UBS Securities LLC: Thank you very much for taking the question. And thank you, also, for all the additional disclosure and color; I think investors are going to find that helpful. I wanted to come back to a topic that all the speakers discussed, which is the effort around branding and marketing. Maybe you can give us some sense of some of the key investments that need to be made to attack that opportunity over the next couple of years? And also, sort of what the state of conversations is with big partners? How far along we are in terms of acceptance of Alibaba broadly as a branding and marketing platform? And what that might do for growth for the medium- to long-term? Thank you so much.
Daniel Yong Zhang - Chief Executive Officer & Director: Thank you. Actually, for this, because our platform actually now is well recognized by our brand partners and merchants as a user engagement, customer engagement platform rather than only a sales platform. So people want to actually spend more marketing dollar on our platform rather than just a trade marketing dollar. So actually, from our perspective, actually, we don't expect a very big investment in terms of dollar investment to make this happen because the things we are doing is more like to try to upgrade our platform, especially in building up the unified ID program, which can help our merchants to recognize, reach and interact with the customers across platforms. So that may be the major efforts we are making to make this happen. And today, we are working very well with a lot of brand partners who have been with us for a long time on Tmall. And all these brands are now experiencing digital transformation, and all of them, they want to spend their marketing dollar in a digital way, but what we can help them is not only just, for example, to switch their TV ads to an online TV ads, but most importantly, not only to help them gain exposure but also help them to engage with the customer and finally convert to the real sales. So that's the value we provide to our partners, and the people, over time, they recognize this and they are moving forward to working closely with us on the customer engagements. Thanks.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Robert Peck from SunTrust. Please ask the question.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Yes. Thank you so much. Two questions, please. One is, I was wondering, Maggie, if we could dig just a little further into the monetization side. Could you give us a little more color around the core advertising ad loads and ad growth, CPCs and growth clicks and growth-effective CPMs? I think you did give us a little bit of data on the advertisers, but more of the components just building up the marketing side of that. And then question number two on cloud; could you just talk to us about how big you think this could be? And how we should think about the cadence of that growth? And as we think about run-rate margins on that business, what that could look like? Thanks so much.
Maggie Wei Wu - Chief Financial Officer: Thank you. So for the revenue growth, obviously, we see this robust growth coming from China, regional marketplace is mainly from online marketing services. I think fundamentally, this growth reflects our broader and deeper value proposition to both buyers and sellers just as we discussed in depth during the Investor Day. So our value proposition already go beyond distribution to marketing, branding, customer acquisition, retention, et cetera. So this is reflected in many aspects. For example, if you look at our Taobao app, the daily active user level grow very nicely. And you can also look from the technical point of view where this online marketing revenue growth is driven by this number of paying merchants and their increased spending with us. So why they are willing to spend more; they have their own calculations to ROI, right? That's because they recognize the higher consumer engagement, these kind of value we provided to them. So that is their recognition of this. In terms of the AliCloud, we've talked about, Cloud right now still growing at three digits, and it gets very close to the breakeven point. Having said that, I think at this stage of time our first priority is still continue to extend our market leadership rather than chasing after making profit, higher profitability level, although we believe eventually this business profit will show and it will grow.
Jane C. Penner - Vice President, Head-Investor Relations: Operator, next question, please.
Operator: Your next question comes from Alex Yao from JPMorgan. Please ask a question.
Alex Yao - JPMorgan Securities (Asia Pacific) Ltd.: Hi. Good morning, and good evening, everyone. Thank you for taking my question. Just two quick ones. Number one is, can you talk about what is driving the second consecutive quarter of Taobao GMV acceleration? And then secondly, with the increasing consumption of content and social elements on your platform, particularly China retail platform, what would be the key impact for accretion? For example, will this lead to an increase of buying content via external parties, or a reduction in buying traffic from external sources or a need for more cross-sell activities across the entire group? Thank you.
Daniel Yong Zhang - Chief Executive Officer & Director: Thank you. This is Daniel. I will answer these two questions. For the first one, for Taobao GMV growth, actually, we always view Taobao, again, as another transactional marketplace. And we, especially in the – after a successful mobile transition, we think Taobao is a very effective customer engagement platform. And we add more and more social features and services in Taobao mobile app, which effectively extend the – improve the visiting frequency. And as I said in my script and today, averagely people come to Taobao mobile app seven times a day, and which very greatly improved the stickiness of the users. And this actually – if people come more and they can discover more and which give the highly likelihood of conversion to the final sales, I think this is one of the main reasons for the growth of – the continuous growth of the GMV. And this is also relevant to your second question, which is that social features – adding the social features. Actually, we tried to build up connections not only between buyer and the sellers but also between buyers and especially the buyers with different – buyers with same hobbies and preference. And they can share and they can comments with each other and they can share with each other. And this creates a lot of new demand from customers. So today, Taobao is more like a social commerce app rather than a marketplace.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Alan Hellawell from Deutsche Bank. Please ask your questions.
Alan Hellawell - Deutsche Bank AG (Hong Kong): Great. Thank you very much. Sorry, to go back to a number that's been repeated a couple of times now, the average Taobao user launching the app seven times per day; can you give us a sense as to how that compares year-on-year? And maybe reflect on any particular social overlay that really drove that increased frequency of launch? And then secondly, with regard to the monetization of UCWeb users, I'd love to get a sense as to maybe how much comes from search, display, app download, and how we should think about that contributing to the mobile entertainment group, going forward. Thank you.
Daniel Yong Zhang - Chief Executive Officer & Director: We do see people come more often and over time after we adding more and more features to our Taobao mobile app, because people get a lot of things, more than they expected. So they can come more often, but having said that, in mobile phone people come more frequently but spend – for every single visit they spend less time, but overall speaking people – actually we can engage people with longer time and which give us a lot of opportunities to realize the commercial value. And for the second question, actually, today we help the buyers, they spend time on our mobile app and they will actually not only to find for the listings but also to a lot of contents and including the live stream contents. So by this kind of consumption and people will find a lot of fun so that's why we said Taobao is a platform for entertainment.
Joseph C. Tsai - Executive Vice Chairman: And, Alan, to answer your question on monetization of UCWeb users. They are, as you know, the second largest mobile search platform in China. So mobile search is definitely one source of revenue and the second source of revenue is coming from newsfeeds and they have built this product over the past few months that is gaining a lot of traction. So those are the two main sources of monetization of the users and, as you know, the newsfeeds as well as search, as more users come, the inventory that's going to be created is going to expand.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Mark Mahaney from RBC. Please ask your question.
Mark Mahaney - RBC Capital Markets LLC: Great. Two questions, please. Congratulations on getting your mobile monetization rates above desktop, but you're right, that was the single biggest issue at the time of the IPO. So the follow-on question has to be, can you talk about where you think those monetization rates can go long term? I'm sure that they can rise, but are there any governors to how high those monetization rates can go? And then, Maggie, also you talked about the breakeven point for cloud; I assume there's a lot of discretionary decisions behind that. But is there an obvious level to you, a volume level at which the cloud computing segment reaches breakeven and starts sliding up into profitability? Or is it purely discretionary for the next year or two? Thank you.
Maggie Wei Wu - Chief Financial Officer: Sure, Mark. Thank you for remembering that IPO's popular question. For the take-rate, as we mentioned during the Investor Day, that our value proposition is much broader than distribution. We are already providing other values likes branding, marketing, all of that. So that it would be incomplete to use the revenue divided by GMV, which is the take-rate as a measure for our monetization level, because the GMV only represents our value proposition on the distribution part of a value, right. So literally speaking, since we've found more value so the revenue going to come in from the other value we provided, so the take-rate will go up. So how further it will go, I don't have an exact answer to that, but we're very confident that it will definitely move up in the future. And for the Cloud, I think when would be the point for breakeven in the search. I think what – as I said, currently, the whole team is still focusing on keep expanding the market leadership, expanding our customer base. And the customer base is one important, actually, measure for – to tell the progress of the business. The other thing, of course, is expansion of the product service. Right now we have 577,000. I think when we get to 1 million, it will be a pretty good point that we have a quite solid customer base. And then the profitability, et cetera, will start to show.
Mark Mahaney - RBC Capital Markets LLC: Thanks.
Joseph C. Tsai - Executive Vice Chairman: Yeah, I just wanted to supplement Maggie's comments regarding Cloud Computing, and this is a very, very long game. To just take a step back, the entire IT sector in China is a $200 billion opportunity, hardware and software. So if you take 20% penetration and say 20% of that IT sector is going to eventually be on the cloud, that's US$40 billion. And if you say that cloud brings about 25% savings to the companies that use it, you still have $30 billion potentially of potential market size. But that's way into the future. As you could see, we are at a stage where we generated US$187 million in revenues this quarter in Cloud. That is still small relative to the size of the market. So we're in this for the very, very long game. And when you start to think about, gee, should I start to harvest and generate lots of revenue versus investing more to create more products and features in cloud to serve our customers? I think on balance, we want to invest in the near-term and the medium-term to continue to drive our leadership. Leadership in Cloud is about technology and is about products. And in the last quarter, we launched 319 new products and features in the Cloud. And we believe that is a pace that nobody can catch up to us in the China market, so very much focused on driving leadership as Maggie said. And I think the question on whether breakeven is a discretionary question or not is kind of moot. We want to focus on product, technology and market leadership.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Mark Mahaney - RBC Capital Markets LLC: Thanks, Joe. Thank you, Maggie.
Operator: Your next question comes from the line of Alicia Yap from Citigroup. Please ask your question.
Alicia Yap - Citigroup Global Markets Asia Ltd.: Hi. Good evening, management. Thanks for taking my questions. Two questions here. Number one, regarding the China retail's revenue, just try to get a sense of the robust 54% growth in the online marketing service revenue. How much of the improvement is due to higher spending on the P4P ads versus higher tractions to the display ads, and how should we look for this line, going forward? And then, given you're topping the first quarter revenue growth, is that mean there is potential upside for the full-year guidance that you provided earlier? And then second question is on the cloud, just a follow-up. Who do you think would be the potential biggest competitions in cloud for you? Will that be the AWS or will that be another Chinese company? Thank you.
Maggie Wei Wu - Chief Financial Officer: All right, Alicia. For your first question on China retail marketplace revenue growth, the online marketing revenue growth is actually coming from both P4P and display ads, P4P growing more. Just now Bob also asked for a little bit more color on this growth. I kept saying that the fundamental reason for the growth is the broader value proposition, broader and deeper value provided to user and – the buyers and sellers because that is the reason. At the surface, you could see things like if you remember that last year in May and September, we added some inventory slots for ads. And right now this quarter, we start to see some full effect of that. But if you think about it, the deep reason for that is we have been operating and manage to increase the user engagement and to help merchants by utilizing the data, give them the tools to better manage these consumers and improve the efficiency of their business. So that's where the spaces we open is more valuable so that these merchants are willing to pay more. So that is the reason. And you're asking about revenue guidance. Yeah, I gave the guidance of 48% plus year-on-year growth for total revenue as a group for fiscal 2017. I'm going to remain that guidance unchanged, we'll not adjust. Why? Because I mean this is our first quarter of this year. We're still in early stage in terms of growth and the integration of new businesses. And when I gave this 48%-plus guidance to the market, we already largely exceeded the market expectation. It is a pretty high goal. So therefore, we rather remain in unchanged for now. For your second question...
Joseph C. Tsai - Executive Vice Chairman: Yeah, the second question, Alicia, I'll answer the second question on Cloud. I think the question is: who's our competitors? There're a lot of competitors. I mean there're real competitors and there're pretenders in cloud computing and obviously, globally, you have some really serious players like AWS and Microsoft Azure as well as Google getting into the space. But I like to take a step back because I don't think that's the right question. I think the right question is: what does it take to be competitive in cloud? So we've been in this business for seven years, all right. And the reason we're in it is because Alibaba is the biggest internal customer of a cloud computing infrastructure. We got into it because we have use cases. We have huge amounts of data. We have massive amounts of storage needs. And therefore, we developed the cloud products for ourselves first, and then they are strong enough and good enough to be – open up to third-party customers. I think if you look at the history, the real winners are going to be those that have real use cases themselves and also use the cloud platforms efficiently themselves because that's how you can gain operating scale, scale of economies as well as cost efficiencies. It's also the pre-condition for the cloud player to continue to develop and invest in technology and products. As I said, that is absolutely the total priority for our Cloud Computing business, to launch new products and features. And at the rate of launching 319 in a quarter, I don't think anybody in China is going to be able to match that. Otherwise, it will just take them massive amounts of investment and costs to catch up. So I think it's important to understand what it takes to be competitive.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Chi Tsang from HSBC. Please ask the question.
Chi Tsang - The Hongkong & Shanghai Banking Corp. Ltd. (Broker): Good evening, and morning, everybody. Thanks for taking my question. Congratulations on a great set of results and a really, really good disclosure. I had two questions. Firstly, getting back to your value proposition to brands and merchants, can you help us understand how much your brands and merchants are spending on your platform today as a percentage of their revenue, and what benchmark we should use to gauge how high this figure can go? Secondly, I wanted to ask you a little bit about margins. So margins for the Core Commerce business was 61%; very, very strong versus high 50%s previously. This is clearly demonstrating high operating leverage for this business. Does this mark a new level of sustainable profitability for your business, or might you spend some of those margins, going forward? Thank you.
Daniel Yong Zhang - Chief Executive Officer & Director: Okay. Let me answer the first question. Actually today, for most of the brands on our platform, when they spend marketing dollar, they don't just measure the effectives of the marketing dollar by the immediate sales. On top of it, they measure this as a cost of a customer acquisition. So that's why more and more people want to spend more dollar on our platform and to engage the customers. So this is also very, very important for our brand to digitalize, to transform – to get a successful transformation of their entire business into a digital business. Not only it has an e-commerce channel and that has a separate sales channel and have a separate trade marketing dollar to promote their products and get their immediate sales. So that's why we see great potential when we integrate our retail platforms with our newly acquired media metrics and this, we believe, can bring a huge value to the brands in their digital transformation.
Maggie Wei Wu - Chief Financial Officer: Right. Regarding to your second question about the margin, obviously we have a very, very high margin for our Core business and even with some investments we made in this quarter, it's still stayed 61%. So whether that margin never going to be sustainable, how we think about this margin, I think first of all the Core business do have operating leverage and secondly, it stays at very high margin level. Secondly, we are pretty much sure that we going to further invest because we have that luxury. If you look at the business that we're talking about today, even for the Core business, the marketplace business, we have tremendous growth potential. The international, the globalization, the rural areas, the FMCG, we wouldn't be hesitate to invest them all. So for Tmall Supermarket for FMCG, while the other company is talking about US$1 billion (55:43) investments, we are willing to invest multi-times of that number, because this is just a category that we think we should be in with great potential and we are the one could provide better service in this area.
Jane C. Penner - Vice President, Head-Investor Relations: Next question, please.
Operator: Your last question comes from the line of Ken Sena from Evercore ISI. Please ask your question.
Ken Sena - Evercore Group LLC: Hi. Thank you. Thank you for the questions. Just going back to maybe the seven-time launch a day for the DAUs, you also provided the DAU over MAU measure of 40%; are you willing to provide any time lapse on that as far as maybe prior year for that DAU/MAU measure? Then also in terms of your traction outside of China, you have 40% of revenues now, very nice growth, there's a bit of inorganic in there. But maybe could you say a little bit more of just where you are and how pleased you are with the traction that you're having in markets outside of China? Thank you.
Daniel Yong Zhang - Chief Executive Officer & Director: Yeah, today, our DAU versus MAU is 40% and actually we are very happy to see that actually this is a result of a very continuous upward trend in the past few quarters, but having said that, actually this trend is – actually DAU versus MAU actually the trend is upward but it takes time to grow. And because you have to get a continuous engagement and traction with the customer during the very life – long time lifecycle and the people can get used to come back more frequently. But we are confident that of our continuous upgrade of our services and especially data-driven services with social features and we can get more people to come back and sign up in the future.
Joseph C. Tsai - Executive Vice Chairman: I want to answer your second question. First of all, you referred to the proportion of revenue that's coming from international. I wanted to point out that there's a very big part of our international activity that's generating revenues, but that is not captured in the so called international segment and that's because that's a cross-border activity with us bringing in imports from all over the world for Chinese consumers. So in terms of our expansion internationally, that's cross-border activity is very much part of our globalization efforts as we see it, even though that's not captured in our financial results. And with respect to the import business, we have established many locations in Europe as well as the United States as well as Japan, Korea to source and bring in brands and merchants onto our platform. We have a ready-made platform that's Tmall Global for them to come in initially. There are lot of brands that are very curious about China entry but they're very, in a way, worried about coming into the China market without any data, without any testing. And this is where we can really help them because we can bring them consumers and we can bring them data. So all that international activity is going very well. The other aspect of international is that, as you see, we've made some acquisition and investments in the emerging markets. We acquired the majority control of Lazada in an effort to start to serve local consumers in Southeast Asia. And that's something that we have decided that that's going to be a very important potential market for us. It's a market with over 500 million potential consumers, and Lazada is operating in six different countries. And so far, we've started to integrate that business starting this past quarter, and so far, the integration efforts have been going very well. The other emerging market is in India, where we have decided to play some very strategically located assets in that market. We invested jointly with Ant Financial into a company called Paytm, which is the largest mobile wallet company in India. We think mobile and payment are going to be important strategic assets for us in that market. And as you probably know, UCWeb also has the number one position as the mobile browser in India. So I think we're very well strategically positioned in these emerging markets, and that's the start of our international activity.
Operator: This concludes the presentation. Thank you for participation. You may all disconnect.